Operator: Good day. And welcome to the Q4 and FY 2016 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Katya Zhukova, Investor Relations Director. Please go ahead, madam. Katya Zhukova Hello, everyone and welcome to Yandex's fourth quarter and full year 2016 Earnings Call. We distributed our earnings release earlier today. You can find the copy of the press release on the company’s IR website and on Newswire services. On the call today, we have Alexander Shulgin, our Chief Operating Officer; Greg Abovsky, our Chief Financial Officer; and Mikhail Parakhin, our Chief Technology Officer. The call will be recorded and the recording will be available on our IR website in a few hours. We've also prepared a few slides supplementary to the story, which are currently available on the IR website. Now, I will quickly cover the Safe Harbor statement. Various remarks that we make during this call about our future expectations, plans and prospects constitute forward-looking statements. Our actual results may differ materially from those indicated or suggested by the forward-looking statements, as a result of various important factors, including those discussed in the Risk Factors section of our Annual Report on Form 20-F dated March 21, 2016 which is on file with the SEC and is available online. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. Although we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. During this call, we will be referring to some non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with U.S. GAAP. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today. And now, I am turning the call over to Alexander.
Alexander Shulgin: Thank you, Katya and hello everyone. Thank you for joining our fourth quarter earnings call. We delivered another solid set of results in Q4 with revenues up 22% and ex-TAC revenues up 24% year-over-year. This is a remarkable performance given the tough comps we faced with the launch of the VCG auction in September 2016. Our full year revenue grew 27% year-over-year, 3 percentage points above the top end of our revenue guidance. The install [ph] mega trend has certainly boosted our performance, but I also believe that our execution quality has improved as we realized our operations upon three pillars. The core search and portal business with three business units and the experiments. Within the search and portal visits, we have been leveraging our expertise in machine learning and AI to increase the relevance of our search results and to improve quality for [indiscernible] With all three business units Taxi, E-commerce and Classifieds, we have tried to create nimble and agile organizations with equity compensation directly linked to value creation. In our Experiments segments shows have proving ground for even more early stage entrepreneurial activities. I am excited about the prospects of Media Services, including Yandex.Music and Discovery services, which is our AI based personalized content recommendation service. I'm extremely proud of everything that the team has achieved over the last 12 months. In the search and portal segment, revenue grew 21% which inline with the growth rate in Q3 2016. This is also due to our focus on FX [ph] that Mikhail will cover in a few minutes, launch of new ad formats and the gross of revenues coming from owned properties, including news, mail, weather and certain events, intelligence content discoveries developed by our Discovery services. We started experimenting with that in 2015 and sold it out inside of Yandex browser in June in 20`6. Average daily time spent per user on Zen is $20 million, this is comparable with average time spent on social networks globally, but still has a room for growth. Zen provides a companion suite of content based on the recommendation technologies and machine learning and because of [indiscernible] source of information with very little user input. I, for one, am a daily user of Zen. Great user engagement with the Zen content creates opportunities for service monetization. With the introduction of native ads we saw a twofold increase in CTR or Zen ad books. As a result, the revenue run rate of this product in December 2016 was already RUB1.5 billion. Now turning to business units. Yandex continue to scale up in Q4. It is now available in 48 major cities across six countries, including Russia, Georgia, Armenia, Belarus, Kazakhstan and Ukraine. In the second half of the year Yandex Taxi rolled out another technological improvement many of which leverage our market leading Yandex maps and Yandex navigator products. We implemented search products in Moscow in September, introduced device [ph] change, where we are now on trial with the new order when they are about to complete their current one. We also released a new ride dispatching algorithm that allows us to significantly increase our order completion rates. In the regions we are also benefited from the full integration of rules [ph] and protect, to click management automation solution as we provide free charge to regional Taxi Parks. In addition, in late September, we significantly lowered our minimum tariffs in Moscow. As a result of all this implementations, aggregate number of rights of Yandex Taxi grew 452% year-over-year in December, reaching 16.2 million monthly rights. Interestingly, while January is typically a slow month in Russia, the number of products grew sequentially and our year-over-year growth rate actually accelerated from December levels. On a GAAP basis, Yandex Taxi revenues grew 91% in Q4, on a gross basis because of certain marketing costs and the minimum fare guarantees from our commission revenues, Yandex Taxi revenues grew 188% year-over-year in Q4. We are committed to invest in this business in 2017 to penetrate in new geographies, to improve the service technologies, and to attract talent to strengthen gain. Now turning quickly to Yandex market and classifieds. Yandex market posted 20% revenue growth in Q4. The slowdown of growth rate compared with previous quarters was driven by transition to a take-rate based model, which are rolling out casually since September 2006. Today approximately 13%of Yandex market orders are take rate based. In 2017 we will continue focusing on expediting the transition to the marketplace model. Classified is benefited from the change in the pricing model and launched a monetization in some regions. We know also operate four certification centers in Moscow and Saint Pete. Cars which have been checked by our certification centers tend to sell two times faster than a regular car listed on Auto.ru. As a result, we see increased demand for this service from consumers and auto dealers. Now let me spend a few minutes on the usual type of test that provide on these calls. In Q4 our overall search traffic averaged 55.4% compared with 55.5% in the previous quarter. On desktop, which constituted 69% of our search traffic in Q4, our search network steady at 64%. On mobile, which constituted 31% of our search traffic in Q4. Our overall search share was 40% as a result of limited distribution opportunities on Android and iOS mobile platforms. Our best estimate of our share on Android is 37% in Q4 versus 38% in Q3. On iOS our share was 21% in Q4 versus 42% in Q3. Yandex browser continues growing rapidly. Its hare on desktop was approximately 22%, while the overall share including mobile is reached approximately 19%. All in all I'm very excited about the opportunities ahead of us in 2017 across all of our operating segments. Now let me hand the microphone over to Mikhail Parakhin who will cover ad-tech in more detail. Mikhail, please go ahead.
Mikhail Parakhin: Thank you, Sasha. And hello everyone. In 2016 we significantly increased our pace of innovation. Throughout the year we were focused on maximization of the total economic value of clicks to our advertisers. The launch of VCG in September 2015 allowed us to significantly increase the relevancy of our ads on search and to provide our advertisers with higher value clicks. In summer of 2016 we significantly improved our broad match capabilities, both on search and in our ad network, to cover user’s unspoken interest and to enhance advertisers reach with high-quality clicks. In late summer, early fall, we introduced a bit correction algorithm that either dramatically reduces the advertisers bid or chooses not to show that their ad at all, in case expects that the quality of the click will be insufficiently high. While the implementation of this correction has led to a slowdown in our ad network revenue growth rates in Q4, we were able to significantly increase advertisers ROI earning their royalty and trust. In 2016 we also leveraged our capital investments in servers and datacenters to greatly improve targeting for our ads. Taken together, these improvements help to offset the top comps from the launch of VCG in September of 2015. While we are on ad topic, I would like to emphasize their growing global demand for high-quality ad analytics, as more and more ad budgets shift online. Currently our Yandex.Metrica is the second largest traffic analytics solution worldwide in terms of coverage. Initially developed for internal needs to be succeeded in scaling up Yandex.Metrica into a truly global product, which currently has access to 1.5 billion cookies that allow us to analyze traffic from over approximately half a billion devices across the globe. It's worth noting that by the end of 2016 share of traffic coming from the foreign websites, over to the one coming from our domestic markets, Russia/CIS, Turkey in aggregate [ph] Yandex Metrica provides its clients with all relevant analytics on traffic, audience performance, KPIs, behavior on user centric analytics, including hit maps which allow our clients to analyze and compare behavior of various audience segments. It also provides clients with a full non-sample trough data to solve complex analytical tasks. In late 2016 we released ClickHouse, our open source real-time database management system. ClickHouse powers the Yandex Metrica and allows to store, process and manage metadata in real-time, streamlines all data processing and provides instant results. Our Ad Metrica allows developers to track sources of flap installations and analyze app usage and effectiveness of various advertising channels. Currently Ad Metrica analyzes traffic from approximately 180 million devices globally. The ability of these analytics products gives competitive advantage on our local market and creates lots of opportunities beyond. Now turning to search. We considerably improved freshness and completeness in search by adjusting our crawling indexing mechanisms. We now incrementally update our index approximately 10 times more frequently compared to the beginning of 2016. This became possible as a result of more efficient utilization of our existing servers. Historically we had issues in addressing long-term queries. This was a result of our one market focus, our sample size was simply too small to train our machine learning algorithms. In Q4 we rolled out Palekh, our new search algorithm which is based on large-scale deep neural networks. This approach allowed our search technology to understand user intent behind inquiry rather then just treated as a sequence of words. The result was a significant increase in the quality of long tail search, which usually constitutes up to 30% of all search place. This ongoing uptake in mobile voice search is becoming a must-have capability, which historically has been very serious about Yandex speech kit, the set of our proprietary voice recognition and synthesis products. In 2016we significantly increased our automatic speech recognition or ASR accuracy in Russia and now we enjoy the lowest error rate on the market, besides Russian. In 2016 we are investing in improving our ASR quality in other major languages, including English, German, French, Spanish, Turkish, and just started with Italian. This year we also improved the quality of our text-to-speech technology and have been working a lot on natural voice synthesis as well. In conclusion, I'd like to highlight that despite being a locally focused company, Yandex has been one of the few companies that pioneered machine learning, artificial intelligence and neural networks earlier on. This exceptional expertise developed through the years uniquely positions us on the global technology area and we will continue to innovate on our local markets using our strong robust technological knowledge. With this, I turn the microphone over to Greg.
Greg Abovsky: Thank you, Mikhail and thank you all for joining our call today. In Q4 we delivered another solid set of results. Our consolidated revenues grew 22% year-on-year and reached RUB22.1 billion. On a full year basis our revenues grew 27% and reached RUB75.9 billion. Online advertising revenues accounted for 95% of total revenues in Q4 and increased 20% year-on-year. Yendex websites revenue grew 20% year-on-year in Q4, driven by technological implementations throughout the year, that Mikhail mentioned earlier, as well as by the growth of ad inventory on Yandex's owned properties. Revenues from our ad network grew 19% and comprised 25% of total revenues in the quarter. This is approximately 100 basis points lower than in Q3 2016. The slowdown of growth rates of our ad network was partly due to bit correction that we implemented at September 2016. In terms of ad budgets across our advertising categories, we saw a strong growth in real estate, auto. Real estate ad budgets grew 25% year-on-year, despite the high base in Q4 of last year. Auto ad budgets grew 22% despite the fact that new car sales were still down 1% in Russia. B2B, finance and insurance, eating out, FMCG in sports all demonstrated above average growth rates. Growth rates in the travel segment, as well as consumer electronics continue to be soft, but improved compared with the trends we saw in Q3. Other revenues grew 93%, primarily driven by the growth of Yandex.Taxi, which constitutes the bulk of the other revenue line in consolidated revenues. Traffic acquisition cost related to the partner advertising network grew 16%, slower than ad network revenues in Q4. The main factors remain the same as in previous quarters, a change in our partner mix. As a result, our partner TAC comprised 56.2% of our ad network revenues in Q4, 140 basis points lower compared with the same period last year, but 70 basis points higher than in Q3 2016. Traffic acquisition cost related to distribution partners increased 12% year-on-year and constituted 7.6% of advertising revenues from Yandex sites. This is 60 basis points lower than Q4 of last year and 50 basis points higher than the previous quarter. The increase distribution TAC as a percent of revenue versus Q3 was mainly driven by a one of payment to one of our existing distribution partners, as a result of an extension an amendment of the contract. In the meantime, our mobile distribution TAC continues to grow as a percentage of our total distribution TAC, primarily as a result of the new contract for pre-installation Yandex services on the second screens of android devices. Total TAC grew 15% year-on-year and constituted 19.3% of total revenues, 130 basis points lower than Q4 last year and flat compared to Q3. Paid clicks grew 12%, while cost per click increased 8%. Turning to our cost structure, total OpEx excluding TAC and G&A grew 29% in Q4. Excluding stock-based comp, expenses grew 33%. Growth was primarily driven by the growth in advertising and marketing expenses in our business units, primarily Yandex Taxi. Salary increases implemented in early '16 and hiring. Personnel costs still remain the largest cost item. In Q4 our headcount was up 15% compared with December 31 of last year and up 6% from September 30 this year. In Q4 our personnel costs constituted 20% of revenues. On an annual basis, personnel costs were 21% of revenue. Stock-based comp decreased 3% in Q4 and constituted 3.9% of revenues. Decline of stock-based comp was due to significant appreciation of the Russian ruble from RUB72.9 to the dollar on December 31 of 2015 to RUB60.7 December 31, 2016. G&A expense for the quarter increased 6%. The growth was driven by our investments in servers and datacenters in '15 and '16 that was partially offset by lower G&A from our finished data center due to strengthening of the ruble. Our adjusted EBITDA increased 2% year-on-year. Our consolidated adjusted EBITDA margin was 30.3% as a result of the increased investments in business units, increase in advertising and marketing spend of our core services and growth in headcount. Yandex Taxi was the main area of investment, excluding both revenues and losses of Yandex Taxi from our consolidated results, our adjusted EBITDA margin would have been 37.4%, 710 basis points higher than what we reported, and our adjusted EBITDA would have grown 22% year-on-year. On an annual basis, we delivered adjusted EBITDA margin of 34.4%, 70 basis points lower than in the prior year. This quarter the impact from Forex was a loss of RUB1.2 billion related to dollar-denominated assets and liabilities on our balance sheet, following the appreciation of the ruble from RUB63.2 at September 30 to RUB60.7 on December 31. Net income was down 57% primarily due to Forex, and net income margin was 5.5%. Adjusted net income was down 11% in Q4 and adjusted net income margin was 14.7%. Our CapEx was RUB2.9 billion or 13% of Q4 revenues. On an annual basis, CapEx constituted 13% of consolidated revenues, due to the postponements of server and network equipment deliveries related to our [indiscernible] datacenter. Taking into account these postponements, we expect our CapEx to be in the mid-teens, as a percent of revenues in 2017. Turning to the performance of our business units. Search and portal revenues were up 21% driven by the growth of revenues on our own websites and the ad network. Our own websites revenues include search revenues and revenues generated on other Yandex property, such as news, weather, mail, and Yandex Zen. Adjusted EBITDA search and portal grew 14% in Q4 and an adjusted EBITDA margin reached 40.4%. In Q4, adjusted EBITDA of search and portal was adversely impacted by a one-off accrual of a RUB0.5 billion of VAT, primarily related to the prior year’s tax audit. Excluding the impact of these VAT provisions, adjusted EBITDA search and portal segment would have been up 21% and our adjusted EBITDA margin would have been 42.9%. Revenues of Yandex market were up 20%. The slowdown of Yandex market revenue growth compared to previous quarters was due to our accelerated transition to a take rate based marketplace model. Our adjusted EBITDA margin of Yandex market was 23% in Q4, as a result of our investments in advertising and marketing, as well as hiring. On an annual basis, Yandex market revenues grew 39%, while adjusted EBITDA margin was 30%. ] Turning to Yandex Taxi. Revenues of Yandex Taxi were up 91% year-on-year in Q4. The slowdown of revenue growth rates in Q4 was driven by the implementation of minimum fair guarantees, accompanying the introduction of lower tariffs in Moscow in late September. Remind you, we use counter [ph] revenue approached to book Yandex Taxi revenues and this approach negatively impacts reported revenue growth. On a gross basis, before subtracting marketing costs and minimum fair guarantees from our commission revenues, Yandex Taxi revenues grew 188% in Q4. The current development of Yandex Taxi business makes us more than ever confident in our willingness to continue investments in this exciting opportunity. As a result of our increased investments in this business related to advertising and marketing, as well as new hiring, adjusted EBITDA of Yandex Taxi in Q4 was negative RUB1.3 billion. Revenues of classified business grew 52% year-on-year in Q4, primarily supported by change in the pricing model in Moscow and the beginning of monetization in selected regions. Adjusted EBITDA of classifieds was negative RUB97 million, as we continue to invest in this business. We're also making investments in our experimental businesses, represented by media services, Yandex Turkey, YDF and discovery, which includes Yandex Launcher and Zen International product. In Q4 revenues of experiments grew 99% primarily driven by the growth in media services, while the magnitude of investments in this segment significantly decreased. Getting back to corporate matters now. In Q4, we resumed the repurchase of our convertible bonds and ended up repurchasing 59.7 million in face value of the bonds for approximately $7.4 million. Since the inception of the program we bought back approximately 357 million face value of the bonds, and today, they are approximately 333 million of bonds that remain outstanding. We ended the quarter with approximately RUB63 billion in cash and equivalents, which is approximately $1 billion OF the exchange rate as of December 31. We're also currently exploring hedging options for our US dollar-denominated lease commitments related to our Moscow headquarters. Now turning to guidance. Taking into account, that we're still early in the year, we currently expect our revenues to grow in the range of 16% to 19% in the full year 2017, compared with 2016. And with this, let me turn the call over to the operator for the Q&A session.
Operator: Thank you. [Operator Instructions] We will now take our first question from Cesar Tiron from Bank of America. Please go ahead.
Cesar Tiron: Yes. Hi, everyone. I have two questions. The first one is on the OpEx, you mentioned on the 3Q call that you would delay expenses into Q4 and I was just wondering if it is both for search, but also taxi? Basically, I want to understand how wrong it would be multiply the taxi OpEx by four, or if you spend by four in Q4 2016 and forecasted in 2017? And then my second question would be on the bid correction mechanism, can you please share some light on how negative impact it had on your revenues in Q4 and whether it would help to increase CPC over time? Thank you so much.
Greg Abovsky: Hi, Cesar, it's Greg. Let me take the first part of the question related to taxi. So look, clearly the magnitude of our investment in taxi for the course of the year will depend on the speed with which that business is growing. As Alexander mentioned in his prepared remarks, the business is accelerating meaningfully already. It grew faster in December, that in grew in all of Q4 and it grew faster in January than it did in December. And so the magnitude of investment in the business will obviously depend on how fast we are able to scale it up. On the other hand, we believe that as the business becomes more and more mature, the magnitude of investment will actually decline, as certain cities reach their maturities, as monetization begins, and as minimum fare guarantees are amended. So I would say it's not something that we can predict, given that the rapid scale that the business is evolving in and you know, we'll obviously provide more updates as the year goes on. And then I'll pass it on to Mikhail to discuss the correction.
Mikhail Parakhin: Hi. Mikhail, here. So again, as I said in my statement, we did implement and rolled out bit correction 100% of publishers, mainly due to the reason that we were – we are getting more and more traffic from mobile properties and in fact the pace of monetization of mobile properties were exceeding – was exceeding the pace of traffic increase actually. So what was happening is that, the mobile traffic for the advertisers was becoming more and more brighter compared to desktop traffic. And so we did implement a bit correction to equalize that - to equalize the situation and it did slowdown the growth in network, but it wasn’t - it was like basically you know, growth that could not be sustained over time and still growing very rapidly and we still on a yearly basis see the increase in monetization higher than increase in traffic. So I wouldn't say the impact is materially negative.
Cesar Tiron: Okay, thank you so much. If you allow me just a very quick follow up, Greg, would you say something on the core search margins for 2017?
Greg Abovsky: Sure. On core search margins, we are aiming to balance once again the pace of the investment in core search and the various things that we are doing related to core search, such as you know, the voice technologies that Mikhail talked about or the investments that we are making in location-based services and monetization of those, as well as investments we're making in our relationships with automakers, such as the integration of Yandex Map and Navigation into the head units of a number of OEMs in the Russian market. And so what we want to do essentially balance off the kind of the natural operating leverage in the search and portal business against the investments that we're making. So the net of that as we expected the search and portal more margins will be roughly flat year-on-year in 2017 and the other businesses will sort of receive investment over the course of the year, as they prove themselves out.
Cesar Tiron: Thank you.
Operator: We will now take our next question from Miriam Adisa from Morgan Stanley. Please go ahead.
Miriam Adisa: Hi, everyone. I just wanted to ask you about the sort of trends that you are seeing based on Q1, I notice [ph] this quite early, but how do things [indiscernible] business in Q4 and you mentioned things like real estate and ad budgets more up in Q4, have you seen any indication that they are also growing in the first quarter?
Greg Abovsky: Sure, Miriam. It’s Greg. I'll take that. Actually the trends that we're seeing year-to-date in Q1 are broadly inline with the trends that we saw in Q3 and Q4. So the core growth of the search and portal business remains largely unchanged.
Miriam Adisa: Great. That’s helpful. Thank you.
Operator: [Operator Instructions] We will now take our next question from Vladimir Bespalov from VTB Capital. Please go ahead.
Vladimir Bespalov: Hello. My question is on your cash flow, it looks like its - accumulating cash, are there any limits when – how are you going to use this cash, because this is not the most efficient way to have this cash on the balance sheet, especially given that your debt capacity is pretty good and this year it looks like more or less stable and the Yandex [ph] is trustable. And the second question, could you give an update on how this situation with your market share is developing because based on the numbers you provided, it looks like you are still loosing your market share in mobile, but it looks like you have stabilized to your market share in total and to the expense of desktop – by increasing your desktop market share. Is there any progress in improving your market share on mobile in this first quarter for example. Thank you.
Greg Abovsky: Hey, Vladimir. It’s Greg. I'll answer the first part of your question relating to the cash and I will hand it over to Alexander to discuss our market share. Look, with respect to cash, what we said before is that you know, certainly dividends is one of the options that we would consider. Obviously on the one hand we have an opportunity to invest some of the cash that we have on balance sheet and very highly attractive return opportunity such as Yandex Taxi and that's the investments we've been making. On the other hand, we do see that the situation in Russia starting to stabilize with exchange rates, which look broadly favorable with the overall macro environment, which is starting to stabilize as well and potentially improve. And so I think while the decision is up to the board, I would say that it's not unlikely for the Board of Directors to revisit that question sort of next board meeting or two.
Alexander Shulgin: Hi. This is Alexander. I will take the question about search share. So I'll [indiscernible] stable at 64%, and on mobile platforms we looked about one percentage points compared to Q3. So for example on android its 37% as of the end of Q4 compared to 38% in Q3. As we discussed in the previous call, we added several distribution deals that will - we expect to have positive impact on our search share, but it takes time for devices to get sold to through the retail channel and eventually start to get in use. So what was for Q4 was actually expected and we believe the combination of product investments and distribution changes we will be able to stabilize the share on mobile and potentially grow it again. So all in all, what it takes to grow shares is a high-quality product which we have and undertake distribution opportunity and here it actually a lot depends on practical implementation of the FAS ruling And just to give you a quick update on FAS status, so the FAS prescription to Google is in force since late August, but Google has been completed so far and continues to bill. The case is now at cessation [ph] stage and we believe we are confident that FAS will take the necessary actions to bring competition back to the market.
Vladimir Bespalov: Thank you.
Operator: [Operator Instructions] We will now take a follow up question from Vladimir Bespalov from VTB Capital. Please go ahead.
Vladimir Bespalov: Thank you for taking my follow up. I would like to ask you about Yandex market, first could you provide some numbers, what is the, like blended average commission on the DCGC model and under the take rate model, and what is the schedule of transition, are you going to follow the same schedule you announced sometime ago or are there any changes in this schedule following the departure of the former CEO of Yandex market, could you just update from this strategy for this line of your business? Thank you.
Alexander Shulgin: Hi. This is Alexander speaking. Again, so first of all, I have say that we are committed to continuing the shift or take rate base, market base model from the current CPC base advertising model. Revenue growth rate in Q4 has slowed down and you could view this is an investment in lessen [ph] transition. We are sacrificing the revenue growth in the short term by building a viable robust marketplace in the Russian e-commerce.. Why revenue is - growth rate is slowing down? Because we intentionally set the marketplace commission, CPA commission substantially lower than the effective commission on CPC model. CPA commission is between 2% to 3%, while effective commission in CPC model is over 6%. Over time we believe these commissions will eventually equalize, but currently we're incentivizing notions to transact by offering lower take rate condition in market base model.
Vladimir Bespalov: And when are you planning to complete the transition or there is no like schedule for when this is going to happen?
Alexander Shulgin: It’s difficult to make a commitment in this area, but I think bigger part of Yandex market will complete transaction by late 2017 and early 2018 and rest of the marketplace will transition when we see a need to do so.
Vladimir Bespalov: Okay. Thank you.
Operator: We will now take our next question from Cesar Tiron from Bank of America. Please go ahead.
Cesar Tiron: Yes. Could you please give us some update on the process with FAS and also with any new handset manufacturers where you reach agreement to [indiscernible] your ops? And also probably tell us if in the – on those smartphones the market share is either around 50%? Thank you.
Alexander Shulgin: Hi. This is Alexander. So on FAS, as I said, the prescription is in force since August last year. Google hasn’t complied so far, partially complied, but not on the key things that they have to do. We believe that FAS will eventually bring competition to the market by implement - making Google implement whatever the prescription is. On distribution deals, I don't think I'll be able due to commercial reasons, and name the exact OEMs that distribute Yandex, but there is definitely improvement in midsize OEM manufacturers.
Cesar Tiron: And then your market share on those smartphones, is it about 50%?
Alexander Shulgin: Certainly, when we are able to preinstall Yandex Search in a same manner that Google does, our market share on this device is substantially higher than 50%.
Cesar Tiron: Thank you.
Operator: We will now take our next question from Alexander Vengranovich [Otkritie Capital]. Your line is open. Please go ahead.
Alexander Vengranovich: Yes, hi. I have a question on classified segment, one of your competitors recently reported fourth quarter numbers and basically there were some significant slowdown of the revenue growth and some negative impact on the margin and they explain it with the growing competition, do you have similar billings that there were some exploration of the competition between the players in those markets and do you think it will put some additional pressure on your profitability of the segment in 2017? Thank you.
Greg Abovsky: Hey, Alexander. This is Greg. Let me comment a little bit on classifieds. Obviously I don't want to comment about a competitor or what they are experiencing. From where we stand we see very little competition in our core regions, from other players we are the leading resource for automotive sales of new and used cars, and we offer what we believe is sort of the best tools for a person to buy or sell, including things like the certification center that Alexander talked about. We do not play in general classifieds, where some of the competition may be coming from or from players like Mail.ru, which released obviously a very good product, which is aimed squarely at the general classifieds segment. With Zen, like I said, the auto vertical – or what we found is our competitive position in our core markets is strengthening and we're gaining share in some of the new regions. So we feel pretty good about the outlook for that segment.
Alexander Vengranovich: Okay, great. Thank you.
Operator: We will now take our next question from Kirill Panarin from Renaissance Capital. Please go ahead.
Kirill Panarin: Hi. I've got a question on EBITDA margin in 2017, obviously investments in Yandex Taxi are difficult to predict, but where do you feel happy for consensus expectations to sit at this early stage in the year? Thank you.
Greg Abovsky: Kirill. Hi, this is Greg. Look on margins, I will just repeat what I've said before, we think that we can keep the balance of investment and harvest within the search and portal business such that the core margins will be in the search and portal business will be roughly flat year-on-year and at the same time we are committed to making a substantial investments in the other business units. We feel you know very good about the outlook for classifieds for market and especially for taxi, and so we'll make those investments. I don't think it's prudent for me to comment specifically with respect to what consolidated margins will look like. And so maybe the best way to model the business is sort of in some of the parts basis where you will make judgments about what each of the businesses should grow and what the margins of that business should be.
Kirill Panarin: Thank you.
Operator: We will now take our next question from Dmytro Konovalov from HSBC. Your line is open. Please go ahead.
Dmytro Konovalov: Hello. I have a question about your real estate projects, like you are trying switch the offices and I think why they decided not to go for it in the past and also understand there are some new projects in the hopper, could you please give a little bit more information on your plans to get better returns in terms of your leases?
Greg Abovsky: Sure, Dmytro. This is Greg again. Let me answer that question. In terms of our real estate footprint, you may have read some speculations in the press, which I can confirm, we have taken some additional office space in a business park not far from our headquarters, which will house some of our divisions. It will – it covers about 10,000 square meters of space. Its ruble based and it’s substantially more attractive terms than our existing leases.’ With respect to our existing leases for headquarters, as I mentioned in my prepared remarks, we're currently evaluating the potential of hedging out the US dollar leases related to those headquarters, such that we are may be isolated from further FX shock down the line. And then finally beyond the expiration of our current headquarters lease, we are exploring options for you know for new home for Yandex, which would potentially be at much more attractive rates than our current facilities.
Dmytro Konovalov: Thank you.
Operator: We will now take our next question from Sergey Libin from Raiffeisenbank. Please go ahead.
Sergey Libin: Hello. Thanks for taking the question. So it’s about your expectations on the growth rates, as you said on this call, year-to-date you see growth similar to last two quarters over the last year suggesting that advertising is growing about 20%. So where do you expect slowdown in the coming quarters or is it just you are trying to be conservative again?
Greg Abovsky: Hi, Sergey. Look obviously we're very early in the year and it’s most prudent to be conservative. As you will recall, in 2016 our initial guidance called for growth rates of 14% to 18%, and we ended up delivering 27% revenue growth. And so, given how early we are in the year, I would like to be conservative again and revenue outlook is based on what we see today. At the same time, as I mentioned earlier in the question that Miriam had raised, the growth rates in the core business are probably similar to what we saw in Q4 and you know, like Q3. So the businesses essentially trending as expected.
Sergey Libin: Okay. Thank you.
Operator: There are no further questions in the queue at this time. I would now like to turn the call back to Katya for any additional or closing remarks.
Katya Zhukova: Thank you very much everyone to join our Q4 and full-year 2016 earnings call. If you have any follow up questions, please feel free to reach out to me and you'll hear about from us when we report Q1 results. Thank you so much. Good-bye.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.